Operator: Greetings, and welcome to the Engine Gaming and Media Third Quarter Conference Call. Please note this conference is being recorded. Before we begin, I would like to caution listeners that comments made by management during this call may include forward-looking statements within the meaning of applicable securities laws. These statements involve material risks and uncertainties and actual results could differ from those projected in any forward-looking statement due to numerous factors.  For a description of these risks and uncertainties, please see Engine’s financial statements and MD&A for its third quarter, its fiscal year 2022 ended May 31, 2022 available on SEDAR and EDGAR. Important qualifications regarding forward-looking statements are also contained in Engine’s earnings release distributed earlier this afternoon and also available on SEDAR and in EDGAR.  Furthermore, the content of this conference call contains time-sensitive information accurate only as of today, July 14, 2022. Engine undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. I would now like to turn the conference over to Mr. Lou Schwartz, Chief Executive Officer; and Mr. Tom Rogers, Executive Chairman of Engine Gaming and Media. Please go ahead. 
Lou Schwartz : Thank you, operator, and thanks to everyone for joining us on our fiscal third quarter earnings call. To begin, total revenue for the third quarter of fiscal 2022 increased 15% to $9.2 million from $8 million in the same period a year ago. This takes into account the disposition of Eden Games.  The two key revenue streams of our business are SaaS also known as Software-as-a-Service and advertising. SaaS revenue for the third quarter of fiscal 2022 was $2 million, an increase of 22% from $1.6 million in the third quarter of fiscal 2021, and 5% higher sequentially when compared to $1.9 million in the second fiscal quarter of 2022. During the quarter, our SaaS business segment experienced double digit percentage growth in the number of clients year-over-year.  Secondly, advertising revenue for the third quarter of fiscal 2022 was $7.2 million, increasing 13% from the year ago period of $6.4 million and up 2% quarter-over-quarter from fiscal 2022 second quarter revenues of $7.1 million. The second quarter is usually a seasonally low advertising quarter.  Turning to expenses. For the fiscal third quarter of 2022, they were $14.9 million, an improvement of approximately $1 million when compared to $15.8 million on a sequential basis. The company's run rate expense reduction from the end of this calendar year going forward is expected to substantially improve through the approximate $16 million of expenses being eliminated relative to where the company was a year ago on a go forward basis.  For the quarter, net income improved substantially to $8.8 million versus $1.6 million in the comparable year ago quarter. Additionally, for the nine month period ended May 31, 2022 net income was $735,610 compared to a net loss of $25.8 million.  For the third quarter, adjusted EBITDA improved on a sequential basis to a loss of $5.2 million, a nearly $1 million improvement compared to the fiscal second quarter of 2022. The company has been taking aggressive actions to reduce costs associated with our B2C gaming businesses. These expense reduction initiatives will continue to be more apparent in coming quarters.  Additionally, we will continue to rationalize all spending across the company with an eye toward attempting to achieve cash flow breakeven on a run rate basis in fiscal 2023, while continuing to narrow our focus on a core set of assets with predictable streams of revenue and significant growth characteristics. We remain extremely mindful of the turbulence in the U.S. and Canadian capital markets, and we recognize the importance of preserving and allocating capital wisely, while working towards maximizing shareholder value.  With our cash on hand at the end of the last quarter, and the proceeds from the recently completed Eden transaction, and subsequent to quarter end completion of the UMG sale, we have sufficient cash to meet our operating needs as we continue to drive shareholder value, moving to profitability.  I want to note, there are many companies in similar positions to that of GAME, who have strong assets and believe their companies are undervalued. We remain open to finding common ground with companies that find themselves facing similar challenges as well as other potential strategic partners to strengthen our businesses to achieve greater scale.  I would like to pass it off to our Executive Chairman, Tom Rogers. Tom? 
Tom Rogers: Thanks, Lou. If you are new to the Engine portfolio of companies, it's important to point out, we sit at the epicenter of the so-called creator economy, and the growing importance of social media influencers. Our key assets in this area include Stream Hatchet and Sideqik. Social influencers in both social media and live streaming platforms are now at the forefront of the creator economy and are evolving as vital elements of digital marketing campaigns. These influencers are key to connecting with the hard to reach, especially younger audiences, enabling the influencer to drive brand awareness and direct response campaigns to their loyal followers, ultimately resulting in e-commerce transactions in addition to other services and offerings. We provide our clients up to date, accurate and reliable audience analytics that are particularly vital to navigating where gaming and media meet in social influencer communities.  During the third quarter, Stream Hatchet signed numerous extensions and new commercial agreements with AAA game publishers, such as Epic Games, Activision, Electronic Arts, and Take-Two; eSports teams such as Faze Clan; and major endemic and non-endemic gaming brands such as Nestle, NVIDIA and Benefit Cosmetics.  In total, Stream Hatchet's active clients grew 27% in the third quarter compared to the previous year from 63 to 80 clients. In addition, Stream Hatchet formally launched Stream Hatchet Brands, a tool and comprehensive database that allows marketers to track earned media value from over 2,300 major brands on video game streaming platforms. Also, another very important development was that Stream Hatchet launched its consumer streamer module, enabling live streaming creators to self-manage first-party demographic data through real time in-stream paneling.  Measuring a brand's impact and audience resonance within social influencer communities is key to building an impactful marketing strategy that drives real ROI. The link between top performing creator content and commerce is stronger than ever. Leveraging the platform tools and features from Sideqik's offerings, make it an invaluable partner to the many companies navigating this complex social influencer sphere.  Sideqik released major updates to its creative relationship management and influencer marketing platform during the third quarter, including optimizations of its campaign management workflow tools, enhancements to its audience insights and influencer recommendation engine, and improvements to its social commerce conversion, and revenue tracking capabilities. Sideqik also signed commercial extensions and added numerous new clients, including Invisalign, Nike, Universal Music Group, Turtle Beach, and Cartoon Network. In total, active clients in the third quarter for Sideqik grew 10% year-over-year.  We believe that a tougher economy will result in fewer marketing dollars being allocated to brand advertising and increasing allocations to digital advertising and marketing. However, given developments that have resulted from privacy concerns making many elements of digital advertising less effective, within digital marketing, we expect increasing dollars to be dedicated to social influencer marketing, where the improved targeting services we offer can be a major enhancement where traditional targeting is now less effective.  Onto Frankly Media a minute, Frankly Media continues to optimize its advertising solutions technology, now working with 50 plus demand partners to monetize video, including live, video on demand, and connected TV, display, and mobile in-app inventory, now with the partners such as the TradeDesk, Amazon, and Criteo. Frankly increased both third quarter fiscal 2022 CPMs and RPMs by 27% and 13% respectively compared to a year ago period, maintaining its strong performance quarter-over-quarter, despite increasingly challenging market conditions.  As we make significant strides in defining our core portfolio companies by reorienting our focus toward our B2B units, reducing costs, and minimizing corporate overhead, we are moving toward our goal of 2023 run rate breakeven.  In sum, our narrowed focus on Frankly, Sideqik and Stream Hatchet deemphasizes our B2C gaming endeavors, increasingly defining the company as one that through its data and analytics, guides companies active in marketing to gaming audiences as well as addressing a broader array of brand sponsors, performance marketers, and media sellers' needs.  As I outlined, our offerings are bridging and connecting gaps in the creator economy, which is seeing a rapid increase in marketing dollars going forward as -- toward the growing social influencer space.  I think we'll now take a few questions, and thank you.
Operator: [Operator Instructions] Your first question comes from line of Jason Tilchen with Canaccord. Please proceed with your question. 
Jason Tilchen : Yes. Thanks for taking the question, and I appreciate all the details in the prepared remarks. I guess you spend a good time -- a good amount of time in the prepared remarks talking about the focus on the core businesses. One thing that we didn't hear about was WinView Games, which is sort of the last remaining piece on the B2C side. So maybe if you are able to or if you could provide some color on what the strategic plans are for WinView? And then I’ve follow-up after that. 
Tom Rogers: Good question, Jason. I'd say, in keeping with our reduced focus on B2C gaming in favor of our B2B businesses, we've been seeking strategic partnerships for WinView that will enable us to continue to pursue WinView with far less cash obligation. I'd say to the extent we cannot find a partner in short order, we may decide to discontinue the operations in order to accelerate driving our overall business to cash flow breakeven which is our core goal. In saying all that though, I want to be clear, I'm speaking here of the WinView operating business, not of our patent portfolio and how we ultimately deal with those interests. 
Jason Tilchen : And then also Lou had mentioned exploring strategic partnerships or other sorts of avenues with other businesses that are also facing sort of challenges in the current operating environment, especially in the capital markets. Is that exclusively related to what you were just talking about with WinView and potentially finding a partner there? Or what other opportunities are you potentially exploring in that -- down that avenue? 
Tom Rogers: Sure. Well, if I might add to Lou’s comments, we're talking more broadly about the potential strategic transactions there beyond WinView. No doubt, there are a lot of companies in our boat with operations that are not being fully valued by the market in any sense, especially with the extreme volatility over the last few months we've seen. Many smaller digital media and gaming stocks have really been hit as have larger companies in these categories as well.  On the other hand, we're looking at this as creating opportunity. In that, we are very open to having various conversations with companies with strong operations, but find themselves with a disconnect in terms of their value in the market, opportunities for conversations where we can build scale or finding unique synergies that can be pursued with those companies that find themselves in similar situations, in ours. So, that's an overall broad focus for us, not focused on any particular unit. 
Operator: Your next question comes from Mike Kupinski with Noble Capital. Please proceed with your question.
Michael Kupinski: Thank you, and congratulations on quickly executing on your cost reduction strategy, by the way. I know that you made some hard decisions there. A couple of questions. First, in your prepared remarks, you mentioned about the opportunities that the company may have with these privacy measures and that the companies are expected to implement next year, particularly Google. In that, your social influencing -- influencer company Stream Hatchet, and so forth might benefit. How would Frankly react with that prospect of seeing additional privacy measures by the likes of a Google, for instance? How would that be influenced with your business? 
Lou Schwartz: I'll take that one. Thank, Mike. Well, listen, as you know, Frankly has developed a network of quality publishers with audiences that are brand safe. And as the quality of our publisher partner inventory and transactional paths have improved, it gives us some sense that there's additional pricing upside in our inventory, which will be a counterforce to somewhat sort of lower demand that will hit traditional brand advertising first, and will have some impact on digital advertising as well. So the PMP or private marketplace demand has opened up for us relative to more commodity priced open market inventory sales, and this should also help us in a tougher ad market. So, ad -- yes, go ahead. 
Michael Kupinski: No. Go ahead and finish. I'm sorry. I didn't mean to interrupt. 
Lou Schwartz: Yes. And again, I think to your earlier sort of question about sort of privacy sort of related issues, as cookies become less sort of relevant in the future having sort of access to some of the tools within our influencer sort of marketing platform such as Sideqik and Stream Hatchet, it'll give us access to targeted audiences that are far more directed than what you could get through cookies today and not quite as targeted as first-party data, but far more informative and far more directed against sort of the brands and marketing partners that we deal with today at Frankly. 
Michael Kupinski: And you had a great quarter with Frankly, and I just want to understand about the nature of the comment that you had, where you indicated that there were some headwinds. And I just want to be clear that those headwinds are just you're talking about just the general economy or things like that, but that it maybe just to kind of give us the tone of the business at Frankly, because the second quarter was nicely up. And so I'm just wondering what you were referring to in terms of the headwinds? 
Lou Schwartz : Well, I think that the general climate has been a bit sort of challenging for a number of publishers that rely exclusively on advertising, right, as a source of income. And I think the most impacted area of advertising has been sort of direct brand. As it relates to sort of programmatic, we've been in sort of a unique position to be able to trade off the value and quality of our publishing customers, as well as our ability to leverage what is a very safe, brand safe and targetable demographic, typically women in the 35 to 55 year old sort of category, and being able to place those through private marketplaces, these are brands and advertisers that are purchasing specific demographic data. And that can only be found through private marketplace, as opposed to just general open market programmatic purchases, enables us to establish higher RPM and CPM value for the inventory.  So that's the way we've been able to navigate around sort of this challenging market, is be able to price our inventory at a premium given sort of the quality of publishers and the brand safety of our audiences. 
Michael Kupinski: And you mentioned this in the prepared comments, you obviously have assets, which are like at the intersection of gaming and media. I was wondering if you can just provide a little bit more color on the opportunity to take the gaming audiences, which is of course, both in the live streaming and social media world, and attach the detailed information about the audience demographics of those influencers that are really driving the gaming audiences? And then if you could just kind of provide us with the targeting capability that you have in terms of those further interest of not only the major gaming brands, but also the major brands that want to reach those gaming audiences. If you can just kind of give us the color of that whole opportunity? 
Lou Schwartz: That's a good question. So our narrowed focus around our B2B assets has enabled us to target more resources on developing cross-marketing, cross-positioning, and deeper product integrations between Sideqik and Stream Hatchet platforms. The biggest opportunity is providing our integrated platform to gain publishers who currently view us as a trusted partner for measuring influencer activity across live streaming platforms. So with the combined capabilities of Stream Hatchet and Sideqik, we have the ability to help drive top of the funnel sales and influencer-driven marketing activity, attribution, and commission reconciliation at scale. And this is an area within the game publisher ecosystem that we were unable to reach.  Video game sales this year will reach a 100 billion globally, and creator and influencer led discovery is how games are being found and licensed. So for instance like the overwhelming number of mobile apps that are cash generating relate to mobile gaming and both publishers and brands are looking at how they can better monetize those audiences. The ability for us to pinpoint and target through influencers where the appropriate game audiences can be found, and smartly penetrated is best done through the unique insights and tools that we deliver. 
Michael Kupinski: And then finally, my last question. Obviously, the stock has been down and out here, and I was just wondering, how would you characterize the stock at current trading levels? 
Lou Schwartz : I mean, listen, as like, along with many other small and microcap public companies we're certainly disappointed by our current stock price. I mean, listen, our reported cash for the quarter was $13.5 million. And our market cap is $17 million as of today. We're looking at the first nine months $30 million in revenue with businesses in high growth areas, which clearly we're getting almost no value for. So, ultimately as we get credit for these businesses, we believe the market will reflect a much higher value in our stock. 
Operator: Ladies and gentlemen, there are no additional analysts with questions. So I'd like to turn the call back to Mr. Tom Rogers for closing remarks. 
Tom Rogers : Thanks, everybody, for joining us. We will keep you up to date on our progress and glad that we were able to share this with you today. Thanks, again.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you all for your participation.